Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Cardlytics Third Quarter 2020 Earnings Conference Call. [Operator Instructions]. I would now like to hand the conference over to Kirk Somers, Chief Legal and Privacy Officer. Thank you, and please go ahead, sir.
Kirk Somers: Good evening, and welcome to Cardlytics Third Quarter 2020 Financial Results Call. Before we begin, let me remind everyone that today's discussion will contain forward-looking statements based on our current assumptions, expectations and beliefs, including expectations about future financial performance or results, our financial guidance for the fourth quarter of 2020, our ability to achieve our key long-term priorities, the launch of U.S. Bank, growth in FI MAUs or monthly active users, the increase in our connectivity to our MAUs, the use of proceeds from the convertible notes, the evolution of our platform to a fully operational platform, the impact of COVID-19 on our business and the economy as a whole, including the stabilization of the economy and potential improvements in the economy in Q4, the impact of our rise, retain and return strategy and the sufficiency of our capital structure.  For a discussion of the specific risk factors that could cause our actual results to differ materially from today's discussion, please refer to the Risk Factors section of the company's 10-Q for the quarter ended September 30, 2020, that we filed earlier today and in subsequent periodic reports that we file with the Securities and Exchange Commission. Also during this call, we will discuss non-GAAP measures of our performance. GAAP financial reconciliations and supplemental financial information are provided in the press release issued today and the 8-K that has been filed with the SEC.  Today's call is available via webcast, and a replay will be available for 1 week. You can find all of the information I've just described on the Investor Relations section of Cardlytics website. Please note that a supplemental presentation to our third quarter results has also been posted to our Investor Relations website.  Joining us on the call today is Cardlytics leadership team, including CEO and Co-Founder, Lynne Laube; and CFO, Andy Christiansen. Following their prepared remarks, we'll open the call for your questions. With that, let me turn the call over to Lynne. Lynne?
Lynne Laube: Thanks, Kirk, and thank you to everyone for joining us on our third quarter 2020 earnings conference call. Q3 showed increases in spend throughout the quarter, so we are optimistic that the economy is in the middle of a slow recovery. We've also seen signs of this recovery in our business and continued to succeed with our rise, retain and return strategy.  For example, prior to Q3, every major hotel partner we had exited our channel. By the end of Q3, they had all signed an IO with Cardlytics for a recovery campaign. And despite airline travel seeing a persistent decline in demand post-COVID, we're currently in a national full-scale recovery campaign with one of our airline partners. However, we are still cautious in regards to some aspects of our business as consumer spending in the U.K. and some of our key verticals, especially travel and dining, while recovering are still dramatically reduced year-over-year. Our billings in these areas map in a similar way. We are also continuously monitoring spend data to make sure we're prepared as a company for a potential new wave of infections this winter.  With all that in mind, here are our results. Total billings for the third quarter were $62.1 million, down 25% year-over-year. Total revenue, which is equal to billings net of consumer incentives, was $46.1 million, a decline of 18% year-over-year. Adjusted contribution was $19.7 million, down 20% year-over-year. As we've said on calls and in meetings throughout the year, we remain optimistic about the future. Our key long-term priorities of increasing the number of marketers working with us, bringing our solutions to new industries, evolving the Cardlytics platform and demonstrating operating leverage in our business remain fully achievable.  Now on to several updates in specific areas of the business. With advertisers, we are seeing increased momentum in both long-standing partners and new ones. One of our top retail and dining partners renewed for 2021 with an 11% year-over-year contract growth and a 2% rate increase. In the third quarter, 10 new direct-to-consumer brands ran on our platform for the first time. All 10 have re-signed to subsequently run in Q4, and several have signed or are finalizing annual contracts for 2021. On a product note, we are pleased to report continued progress with our self-service platform. Agencies continue to test, and we're working with them to create the best user experience possible. Our partner agencies are providing feedback on how we can improve and have simultaneously expanded testing to 3 new brands, including a CPG client.  In addition, the platform is currently connected to over 75% of our MAUs, and we expect to be connected to the vast majority by the first half of 2021. We're excited about the incremental strides we've made towards a fully operational platform this quarter.  Moving to the bank side of our business. Wells Fargo continues to scale and our MAU base has grown to 161.6 million or a 26% increase year-over-year. We expect MAU growth to stabilize in the low to mid-single digits in the future quarters.  Further, our launch preparations with U.S. Bank are going as planned, and we still expect to launch them with our version 1 of our new user experience in the first half of 2021.  With that, I will turn it over to Andy.
Andrew Christiansen: Thanks, Lynne. Despite the challenging environment, we've continued to see month-over-month improvement in our results since April. Many parts of the business continue to track in the right direction, which makes us optimistic about continued improvement throughout the rest of the year. We remain focused on our longer-term initiatives, such as our self-service platform and the launch of U.S. Bank, and we're looking forward to sharing future updates on our progress. Just like last quarter, I'll give a quick update on liquidity and our recent capital raise for covering Q3 results and guidance.  As many of you are aware, we completed a $230 million convertible note offering in the quarter. We firmly believe our prior liquidity was sufficient to operate the business, we decided to take advantage of a very favorable financing environment. The net proceeds will be used for working capital or other general corporate purposes, which may include potential acquisitions and strategic transactions to support long-term growth in our business.  In addition, this financing provided us even greater financial flexibility to weather unforeseen economic uncertainties and be opportunistic as we evaluate avenues of inorganic growth. We ended the quarter with $288 million in cash and cash equivalents compared to $98 million at the end of Q2. We also continue to have access to our undrawn $40 million loan facility. The economy continues to improve, but there's still a lot of near-term uncertainty, especially in key verticals and the U.K. market, so we're remaining extremely prudent in regards to our cash strategy.  During the third quarter, billings decreased 25% year-over-year to $62.1 million, and revenue decreased 18% year-over-year to $46.1 million. While U.S. revenue declined 15% year-over-year, U.K. revenue is down 52% as businesses there have been impacted by much deeper and more prolonged economic contraction in the U.S. On a sequential basis, billings and revenue were up 57% and 63%, respectively, in the third quarter compared to Q2 of 2020.  Adjusted contribution was $19.7 million in the quarter, down from 20% from Q3 2019. Adjusted EBITDA was a loss of $600,000 in the quarter compared to a gain of $3 million in Q3 of 2019, reflecting the $5 million decline in adjusted contribution, offset by $2.6 million of incentive compensation that we shifted from cash to equity as part of an effort to preserve cash during the pandemic.  The strategic investments we continue to make across the business to support our long-term growth alongside the effects of the pandemic and the programs we put in place to preserve cash may cause fluctuations in our EBITDA over the coming quarters. MAUs grew 26% year-over-year from 128.3 million in the third quarter of 2019 to 161.6 million in Q3 of 2020, reflecting the Wells Fargo launch and an increase in MAUs for existing FI partners. ARPU during the third quarter was $0.29, down 34% year-over-year. As expected, ARPU continues to experience pressure year-over-year due to our significant MAU growth and decline in revenues.  We had 27.5 million shares outstanding at the end of Q3. Weighted average shares outstanding during the quarter was $27.3 million compared to $23.6 million during Q3 of 2019.  Now turning to guidance. The economy is clearly in a more stable position than it was in the first half of the year, but there's still a lot of uncertainty related to infection trends in the U.S. and U.K. that can disrupt the economic recovery. We recognize the importance of guidance to the investing community, so we've decided to provide some direction on billings and revenue. While our guidance is a bit wider range than usual, it reflects the wider range of potential outcomes. Please note that depending on the circumstances, we may decide to withhold guidance on the future. As mentioned, we foresee sequential improvement in our results continuing in Q4 and expect billings between $79 million and $89 million and GAAP revenue between $55 million and $62 million.  Overall, we've been pleased to see the business adapt and recover in a rapidly evolving landscape, and we're eager to see continued progress towards a more normal operating environment, which will help us achieve our long-term financial goals. And if things get worse before they get better, we're confident that our liquidity provides us the flexibility to maintain a long-term mindset and act opportunistically.  With that, I'll hand it back to Lynne for closing remarks before we open for questions. Lynne?
Lynne Laube: Thanks, Andy. Q3 was a solid quarter. As we've said in the past, we remain excited about our opportunities for growth and feel like our momentum is increasing. We are cautiously optimistic that sequential improvements will continue into Q4, but we have plans in place to address any scenario. Like always, I remain proud of our team's response in the workplace and the community and we continue to remain focused on their health and well-being.  With that, I'll open the call up for your questions.
Operator: [Operator Instructions]. Our first question comes from the line of use Youssef Squali with Truist Securities.
Youssef Squali: Excellent. Two quick questions for me. First, can you just speak to the October trend, if you can maybe just quantify that for us? I think you did out of Q2 and you spoke to July. So if you can speak to that. And just generally, what kind of macro environment is baked into your guidance in terms of the U.K. versus kind of what you're seeing in the U.S.?  And the second, the delta between bookings growth and revenue growth seems to have increased again this quarter, basically implying fewer incentives to customers. Maybe can you speak to the reason for that? And is there basically a structural difference between maybe offline versus online offers going on? Or is that just a product mix based on what you guys are -- what's most popular at this point from an offer standpoint?
Lynne Laube: Yes. Youssef, thanks, it's Lynne. I'm going to let Andy answer most of this, but I will just sort of refer to the month-over-month billings guidance that we were giving in previous quarters. Because we're giving guidance in Q4, we're not going to do that in this quarter. But I can tell you, we have continued to see first sequential month-over-month improvements and expect to see that in Q4, but I think we're going to kind of be landing harder on our guidance and less on how we ended the month in October.
Andrew Christiansen: Yes, that's exactly right. And then to your second question on the U.K., we actually have haircut our expectations there pretty substantially. So we certainly are concerned with what's going on over there. But we've seen a lot of strength in the U.S. which is really driving the numbers and not so much of any type of material rebound in the U.K. So we feel like we're covered there pretty well.  And to your last point on rewards, certainly, we've talked about this in the past. We had certain areas of the business that had perhaps a bit lower margins. And as those areas have really come down to U.K. and also some travel. We have certainly seen that change in mix occur. We actually aren't seeing a lot of changes from account-to-account historically, but it's much more around mix. We are actually re-evaluating the margins there. I think that it's fair to say that this has been one of the higher-margin quarters that we've had in a while. So you will actually, I think, see this come back down into a normal trend as the business continues to adapt and pivot over the next probably couple of quarters.
Lynne Laube: Yes. And definitely wouldn't put the margins this quarter in your long-term models.
Operator: Our next question comes from the line of Chris Shutler with William Blair.
Christopher Shutler: Would you mind giving us a, I guess, an earlier look into the sales funnel? I know one of the challenges with Cardlytics is that advertisers tend to test and learn, and it takes time to ramp up the budgets. But I know, Lynne, you did give the 10 new D2C brands, which is great to see. But anything else that you can say or quantify around kind of new -- number of new advertisers using the platform relative to what you normally would see?
Lynne Laube: I mean I can give you anecdotal information. I'm not going to be able to give you other specific stats other than what we discussed already. But what I would say, and I've said this for a couple of quarters is we are now at the scale where most advertisers will at least take our call. Doesn't mean we can't get to the right person immediately. It doesn't mean they still have to go through a test-and-learn cycle. But we are engaged with more advertisers than ever before simply because of the scale that we now bring to the table and the fact that we can move the needle even to the largest. Some move very fast. The D2C brands, for example, that we referenced, have moved very fast and a much faster sales cycle than we see with the traditional large, big box retailer, for example.  But we feel good about the engagement that we have with new advertisers. We'll see how long it takes for them to go through that testing cycle. So at this point, I wouldn't give you -- I would not say you should assume acceleration, even though we have seen some nice points where we are seeing acceleration. And then as we continue to watch it, if we feel good about signaling acceleration, we'll let you know.
Christopher Shutler: Okay. And then on the self-service tool, just -- I know it's early days still, but any kind of early feedback, learnings from the agencies that you're working with? And do you expect to expand the number of agencies you're working with here in the near term?
Lynne Laube: Yes. Good question. So we have told you guys not to expect us to expand the agencies we're working with this year. That is a 2021 initiative to start going to more agencies. What we are doing is expanding the number of clients with the 2 test agencies. So we've already done that, and that continues to expand in terms of the number of clients within those agencies that are testing on the platform. The biggest feedback that we're getting from the agencies is specific reporting that they would like that is more consistent or similar with reporting that they get on other platforms. So for example, we don't overly emphasized clicks because we are a true return for investment dollar ad spend platform. It's a pay-for-performance platform. So clicks don't matter. But the agencies would like some of those standard metrics that they get in other platforms.  So we're working on that as well as more customizable reporting for them to import and create their own reports using some of their own data. Those are probably the 2 biggest points of feedback that we're getting from them. But nothing major, nothing that is not easily addressable and that we continue to work on. So we're still very confident with our beginning of rollout in early 2021 to many other agencies. And of course, as we've discussed, it will take many quarters for them to get to scale, but we're confident that we're going to get started.
Operator: And our next question comes from the line of Tim Willi with Wells Fargo.
Timothy Willi: A couple of quick questions, a couple of housekeeping and one other. Just on the housekeeping side. Andrew, how should we think about interest expense in the upcoming quarters with the convert raise, is what we saw in 3Q a decent run rate? Or should we think about adjusting that number a little bit as we build out the quarterly from this point?
Andrew Christiansen: Yes. That's right. So we would not have had much time here. We closed that kind of in the middle to towards the end of the month, the 18th of September. So we would not have reflected a full quarter of interest expense. And so certainly, the $230 million convert 1%, you're going to have an annualized $2.3 million out there. You're also going to have some noncash interest as well just via the accounting. And so that will accrete up, that discount will accrete up. So you will certainly see that here in the next quarter, but that's fair to build that in.
Timothy Willi: So sort of start it. Just take the $2.3 million and divided by 4 that will be a good starting point. The accretion won't be that material.
Andrew Christiansen: That's right. So you're going to get that and that will be the cash interest. That's right.
Timothy Willi: Yes. Yes. Perfect. Second question was just around the stock comp number, and I know that can move around with the share price, so that is a moving target at times the way that formula works. But I guess, we've sort of got 2 quarters here sequentially, where you could average it out to $10 million. And I know you brought on a bunch of people and things like that, that probably helped push that number up. But assuming no real volatility around the share price. Is this, again, sort of a good nominal number to work with in that $10 million a quarter? Or is there something we need to, again, sort of think about from the perspective of the add-backs and adjustments with stock comp?
Andrew Christiansen: Yes. There's actually -- you're right, there's quite a few moving parts on there as well as the underlying kind of accounting, which creates a little bit of noise sometimes. So we did have a little bit of unusual charges that we don't take every quarter that are running through there of a couple of million dollars.  And also, over the last couple of quarters, right, we've been talking a little bit about this, that we had diverted some of our cash compensation into equity and so it is a bit inflated, both in Q2 and Q3.  In the prepared remarks, I think we actually quoted the $2.6 million number. So these numbers here from Q3 and Q4 are not truly represented. They're a bit higher than they would be otherwise. But we do continue to think that over the coming quarters, borrowing, excluding the effects of the incentive comp, which will come back into cash at some point, that we're probably going to have some additional quarters here in '21, where it will continue to be noisy, unfortunately. But that's kind of directionally what I have.
Timothy Willi: Okay. Perfect. And then the question -- this is the last one, and I'll hop back in the queue. Lynne, I think you said you say a CPG was part of one of the test groups with the agencies around self-service. Is that correct?
Lynne Laube: Yes. Yes, that is correct. We've had our first CPG brand testing the activate platform via the agencies or the -- sorry, excuse me, the self-service platform. We have an internal name for it called SP.
Timothy Willi: Yes. And just out of curiosity, I mean, obviously, the model has generally been sort of driven around a purchase amount at a retailer or a marketer time of day, dollar amount, frequency, what have you. I know you've referenced before in the grocery channel, it's a little bit harder because the groceries sort of have their own type of approach and they let the CPGs do a lot of promotional activity as opposed to the store.  And I guess thinking about SKU level awards, et cetera, I think you've talked about, just any thoughts there? And I don't know if the CPG test is actually around a particular item and getting into sort of the SKU-type level redemption activity. But I guess just any thoughts around that test and/or just the broader concept of truly very specific items, especially if you talk about like the grocery channel, where I know you guys still sort of try to crack the code versus some of the other verticals where it's a bit easier?
Lynne Laube: Yes. No, it's a great question, Tim. So this particular test, I want to be clear, it's a CPG brand. We are testing the brand influence and brand kind of drive that we can have as a result of this platform. It is not redeemed at the brand level, however, they are still able to redeem within a variety of stores and by a variety of number of products underneath the CPG brands. So it's not a full SKU level offering and redemption that is actually something that, as we've all discussed over and over again, if you could combine SKU level data with transaction level data, that is a game changer in our opinion.  We are constantly looking at companies that we can either partner with or acquire that have SKU level information. But this is, call it, a very, very baby step. It is not the full SKU level targeting and redemption products that we'd ultimately like to build. But it is a very important baby step to have a major brand, and this is a brand everyone on the phone would know well, to have a major brand come in and say, let us try to test out this channel in a more of a nontraditional way is exciting.  And then just very quickly, I do want to talk about the stock-based comp. As a reminder, a lot of the variability is because we have an awful lot of our stock-based comp is performance-based, not time-based. And so we've got a number of performance-based brands out there that we may trigger in 2021, which is a big part of what makes it variable. But they're performance numbers that I think everyone on this phone call would be thrilled if we hit. So just keep that in mind.
Operator: Our next question comes from the line of Doug Anmuth with JPMorgan.
Douglas Anmuth: Lynne, I was just hoping you could share some of your latest thoughts kind of going into the holidays this year. Just on any patterns you're seeing around consumer spending and anything that you think will influence market or spend on the platform? And then secondly, just on the new user experience, can you give us an update there? Are you still expecting U.S. Bank to be the first bank to see kind of the early version? And is that still on track for the first half of the year?
Lynne Laube: Thanks, Doug. Let me take your last question first. The answer is yes, U.S. Bank is on track for the first half of next year, new user experience. It will be version 1 of the New Years' experience, but it will be noticeably different.  In terms of trends that we're seeing, obviously, we see the spend. We watch it very closely. We continue to see recovery in all spend categories, even including travel, although it's still down quite a bit. What I think the difference is, I think twofold as we go into Q4. One is, while it's looking like we're going to have another wave of some form of potential partial shutdown even in the U.S., I think most of our advertisers are more prepared to think about that and to handle that shutdown in a way that is very different than what they did in Q2, which was panic first and shut everything off and then try to figure things out.  So I feel good about that. I also feel good about the pivot, if you will, that we've had with the rise, return, retain strategy. I think we are more COVID-insulated with some of our brands than we were in the past. The D2C brands as an example, much more COVID-resistant than, for example, a large dining out establishment. So we feel good about Q4, even if there is another disruption. I mean if it's massive and completely unprecedented, all things off the table, but we are generally expecting disruption in both the U.S. and the U.K. and still feel good about the numbers we gave you.
Douglas Anmuth: Okay. And just following up on the U.S. Bank part. Any -- just insight on what kind of the early version of the new user experience will include what that will look like?
Lynne Laube: Yes. It's laying the foundation for having different types of offer constructs. So that's the way you need to think about it. As you know, today, all of our offer constructs are the same. If you see a logo, you can shop at that retailer, whenever and however you choose online/offline and you get the cash back. This new user experience is completely trying to lay the foundation for, there are different kinds of offers that require different kinds of consumer experiences for you to get the cash back. And so you're going to see much more of a tabular kind of feature where you can find certain kinds of offers, where the offers actually look a little bit different, where you can sort and categorize, so it's laying that foundation. Now you won't necessarily see lots of different kinds of offer constructs, but you'll see the foundation laid so that over time, we can bring those in.
Operator: Our next question comes from the line of Jason Kreyer with Craig-Hallum.
Jason Kreyer: Just piggybacking here, but you talked about potentially another wave of cases or shutdowns that could be on the horizon. Just curious if you're seeing anything in your data on consumer behavior in any geographies or any uniqueness that may be showing up in the numbers that you guys see?
Lynne Laube: Nothing like we were before. Before, in Q2 and into early Q3, the differences you could see between states and cities and ZIP codes and categories was dramatic. It's a lot more leveled out now. So California isn't that much different than New York right now. The categories are still down. Some categories are still up, but you don't see massive geography differences right now. I anticipate that's going to start to change again, quite frankly. But right now, what you see is everything is recovering. Some are almost fully recovered, if not fully recovered. Several are still not, but everything is recovering, and it's covering pretty consistently across all areas of the U.S. right now.
Jason Kreyer: Got it. And then we've seen some changes start to trickle out just in terms of, like, imagery or formatting of the offers from some of these bank partners. Just curious what goes into that on your end? Like, how many -- how much of these changes are things that Cardlytics has driven working with the -- with your financial partners? And what comes directly from the bank in terms of just making platforms updates to, like, their mobile experiences?
Lynne Laube: Yes. No. I mean, all of the changes that you see to our offer constructs are driven by us. Now the banks are friendly engaged partners in it, but they are driven by us. The changes you've seen so far are small tests and learn types of changes, nothing too material, but you've got to start somewhere. But the banks do have a decent view of where we'd like to get to ultimately. And so they're all trying to put their foot in the water to test little things here and there where they can to get ready for more and more. So you should see that as a very positive sign of bank engagement, willing to work with us to get some of these ideas out there as soon as possible.
Jason Kreyer: Okay. Last one quick for me. Just going through the slide deck. Interesting, you talk about like greater touch points with consumers and it's kind of implied in there, this is based on e-mail communication. Curious how those conversations go with the FIs? I mean it seems like 1 or 2 of the FIs have been more aggressive with e-mail campaigns than the rest of them have. So just wondering how that dialogue progresses.
Lynne Laube: Yes. I mean I think the vast majority of our, at least larger institutions are pretty aggressive. Aggressive might not be the right word, but e-mail is a routine part of how they market this program to their customers. And so I think most of our e-mails are fairly -- they're just -- they're just an expectation that the bank has that we're going to e-mail our customers quite routinely on this program. Some banks are more willing to do sort of test and learn within the e-mail construct. But I believe all of our banks consider e-mail a huge part of the marketing of this program, and we'll continue to do so.  And the conversations are -- I mean, some -- we've talked about this. We have some of the highest open rates, if not the highest open rates with e-mail sent by these banks over any other product that they have. So they're excited to continue to use these e-mails to engage with customers. And I do think you'll even see some of them trying to sell other products and services within the e-mail, but still using the Cardlytics content to be the thing that encourages the initial engagement.
Operator: Our next question comes from the line of Aaron Kessler with Raymond James.
Aaron Kessler: A couple of questions. Maybe just first on your traditional retail category and restaurant verticals. Kind of where are we in terms of the recoveries? Are you seeing kind of similar recoveries across the merchants in these categories? Or is it really depend from one retailer restaurant to another? And then just maybe also any updates on maybe trends in advertiser ROI and your sense of two maybe how that compares to other channels as well, I think you used to quote kind of an incremental return on ad spend number?
Andrew Christiansen: Yes, this is Andy. What we're actually seeing a very broad-based recovery. To be honest, when we look at all of the spend that we see macro level. We see very healthy gains across retail and restaurant. Even travel has started to pick up a little bit. It's still down significantly, but we're benefiting from all of those tailwinds as well. When you look at our results on a vertical basis and we don't share details there, but it aligns very closely with the overall economy and restaurant, in particular, for us, has been very, very strong.  So I think that's one of a very, very encouraging thing for us, which gives us a lot of comfort when you go into reintroducing guidance for Q4, and you see it on a broad basis like that, it really is helpful. Do you want to take the ROI question?
Lynne Laube: Yes. I mean, the ROI is -- this is going to sound sillier than I mean it to, but it is easy to obtain. It is a very simple math formula. If we're running a little hot on ROI, we simply bring offer values and offer impressions down. If we're running a little low on ROI, we bring impressions up and sometimes offer amount up as well. It is very easy for us to hit whatever ROI we need. It's just a simple math formula and the big machine. So we continue to try and be at the top of the stack for most of our advertisers. They don't always tell us exactly where we rank in the stack. But our general sales approach is we want to be the best option you have out there, at least the best option digitally. And I think we are. You may not hear that broadly from every advertiser because they'd like to kind of keep a little bit secret. But we continue to deliver incredibly strong ROIs for our advertisers across every vertical.
Operator: Our next question comes from the line of Josh Beck with KeyBanc.
Josh Beck: Lynne, I wanted to follow up on one of your comments, which I found interesting. It sounds like the advertiser attitude has changed a little bit. Obviously, everyone's learned a lot in the last 3 to 6 months. Certainly, it seems like maybe how they will reprioritize things if there were another big slowdown has changed. So I'm wondering if that's favoring these very clear ROI channels like yourselves? I'm just kind of curious to hear a little bit more about that change.
Lynne Laube: Great question. And the change I was referring to is more at the macro level. I don't know that it's necessarily unique to us. But at the macro level, I think what you have is advertisers who know that there's likely another version of some wave coming. They're thinking about what their strategies are for handling that. They're thinking about how they can push online more or in-store delivery more, things like that. And they're not in an instant reaction of, okay, I have to shut everything down and figure out what I'm going to do.  So that comment was much more macro. I think all channels are going to see -- all advertising platforms are going to see something similar. I do think where we are somewhat uniquely advantaged, but it is different by vertical is because we see the spend sooner than others. We can certainly -- particularly on the recovery campaign, we can tell them when it's time to start launching a recovery in a way that other platforms maybe can't. So we continue to believe that we're advantaged on that sort of return strategy. But the comments were much more meant at the macro level.  You're just not going to see the same panicked reaction that you saw in Q2 in Q4, unless complete disaster strikes. I mean, certainly, if there's riots in the street and the cities are burning after election day that -- who knows. But I think every major advertiser we talk to know that there's going to be some bumps in Q4, and they're sort of trying to figure out how they still do business despite bumps and regional shutdowns and things like that.
Andrew Christiansen: We've adapted and pivoted our business and our clients are doing the exact same thing as well. Their businesses are just well -- much more prepared to deal with it.
Josh Beck: Okay. That's a very helpful context. And I certainly appreciate these engagement metrics. I think it's probably a little tough to look at them sequentially, but it does seem like there's a little bit of an improvement in the offer activation rates for restaurant and retail. So I'm just wondering, is there anything to read into that? Are those verticals starting to recover in your view? Just anything that really stood out to you as you looked at some of these engagement metrics?
Andrew Christiansen: Yes. I don't think that there's anything really noteworthy in the activation rates. One thing that was kind of interesting, I think, was the uptick in the travel. Some people have certainly noticed that. Travel is at very, very depressed level right now. So one thing that's interesting there is that we're starting to capture a little bit of budget there, but it's off a real small base. But the activation rates themselves, I don't think there's anything to really read into it at this quarter.
Josh Beck: Okay. That's helpful. And then I know this question came up earlier about the delta between billings and revenue growth. It certainly looks like in Q4, it's a much smaller delta that's coming out in your preliminary guidance. So anything that we should be mindful of there in terms of maybe what's behind that?
Andrew Christiansen: Yes. I think we foresee that over the next couple of quarters that our billing margins will begin to revert back to historical levels. That kind of upper $60 million, kind of low $70 million level is kind of where we've been historically, where we feel comfortable. I think it does remain to be seen how quickly that, that does pivot, but we are taking some strategic action to get that down a little bit. So it does remain to be seen how far that may come down. But you're right, we did certainly guide for that to come down slightly. But it remains to be seen exactly where that is going to land.
Josh Beck: Okay. And then if I can just sneak one other quick one in on MAUs. It certainly seems like you were around call it, $4.4 million level of net adds in Q3. Is that maybe what was behind that? Is that a bit of a steady state for a while? Just anything you can share with us on MAU trend.
Lynne Laube: Yes. I think we, for the most part, the Chase and Wells launches are behind us at this point. So what you're going to be seeing in future quarters is just natural growth rate of MAUs as it relates to customers engaging in online banking and mobile banking. So just macro trends that we benefit from versus one last push from any of our banks on a slug of MAUs that we don't already have.  Obviously, U.S. Bank, you'll see some uptick with them. But again, on the base that we have of 161 million plus, even U.S. Bank, we're still going to be in the sort of low to mid single-digit growth rate for many quarters to come on MAUs, even with the add of the U.S. Bank, which will probably go across two quarters, maybe even three, which is why we're confident you should take that back down too low to single-digit growth.
Operator: And our last question is a follow-up from Chris Shutler with William Blair.
Christopher Shutler: Once U.S. Bank is live with the new user experience, it's going to be the only bank where marketers can do more than put a logo on the bank's mobile app or online banking platform. So would you allow marketers -- I think the answer is yes, but will you allow them to essentially specify that they want to work with U.S. Bank because they're going to be the only ones that allow the showing of imagery? And then any update on other large financial institutions expressing interest in the UX?
Lynne Laube: Great question. So the answer to your first question is no. Initially, what we're going to do is allow marketers to test and learn with us on having some capabilities available in some banks and not in most banks. We probably won't raise prices. So they'll probably get the benefit of some free testing and learning with new capabilities like basic imagery, et cetera, to use that as a carrot to get the banks to go faster on rolling out the new user experience. So I think that answers that question. In terms of where the banks are, they are all very engaged in wanting this new user experience. They're all in various stages of figuring out how to do the business case and/or how to get it into their IT pipeline for prioritization.  So it is going to be many, many quarters. I would tell you to conservatively not expect any bank, any large bank to roll out the new user experience fully in 2021. I believe we have a good chance of getting a couple of them to start, but this is an initiative that goes clearly into 2022 and maybe even into early 2023.
Operator: And I'm not showing any further questions. I'll now turn the call back over to Lynne Laube for closing remarks.
Lynne Laube: Okay. Well, thank you, everyone, for joining the call. We appreciate it and get out and vote if you haven't already. Bye, everyone.
Operator: Ladies and gentlemen, this does conclude the program. Thank you for participating, and everyone, have a wonderful day.